Operator: Thank you for standing by. This is the conference operator. Welcome to the Dexterra Group's Second Quarter 2025 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Denise Achonu, Chief Financial Officer. Please go ahead.
Denise Achonu: Thank you, Andrea, and good morning. My name is Denise Achonu, Chief Financial Officer of Dexterra Group Inc. With me today on the call are Mark Becker, our CEO; and our Board Chair, Bill McFarland, who will provide some brief introductory comments. After a brief presentation, we will take questions with the call ending by 9:15 Eastern Time. We will be commenting on our Q2 2025 results with the assumption that you have read the Q2 earnings press release, MD&A and financial statements. The slide presentation, which supports today's comments is posted on our website, and we encourage participants to access the slides and follow along with our presentation. Before we begin, I would like to make some comments about forward-looking information. In yesterday's news release and on Slide 2 of the presentation that we have posted to our website, you will find cautionary notes in that regard. I will not cover the content of the cautionary notes in any detail. However, we do claim their protection for any forward-looking information that we might disclose on this conference call today. I will now turn it over to Bill McFarland for his introductory comments.
R. William McFarland:
Independent Chair of the Board: Good morning. Thank you, Denise, and thank you to everyone for joining the call. As highlighted in our press release, Q2 was another good quarter for Dexterra, and it has been a very active and exciting time for the Dexterra team over the past several months, which culminated in the announcement of two strategic investments over the past week. This marks an important milestone for the company and positions Dexterra to continue to scale and grow the business in line with our strategy as discussed at the recent Annual General Meeting. That strategy included growing the U.S. IFM business and making high- return investments in our business when accretive opportunities arise. Both of these investments are 100% aligned with that strategy. In line with our focus on delivering shareholder value, I'm pleased to also share that the Board approved an increase in our annual dividend to $0.40 per share. This increase reflects the Board's confidence in the strength and sustainability of the company's business and its robust cash flow generation ability. As you know, we are committed to delivering a return on equity of 15% to shareholders while continuing to build the business for the long term. This includes paying both a meaningful dividend and delivering capital appreciation over time. With that overview, I would now like to pass it over to Mark Becker for more of our recent -- more on our recent acquisitions and some comments on the Q2 2025 results.
Mark Becker: Thanks very much, Bill, and good morning to everyone. Beginning on Slide 5, and as Bill mentioned in his introduction, it has indeed been a very active period this summer. In addition to another strong quarter of business results, we've had some important strategic initiatives come to fruition recently. On July 31, we acquired a 40% interest in Pleasant Valley Corporation, a U.S.-based family-owned and operated facility management provider. PVC offers a range of services, including integrated facility management, primarily to commercial and industrial clients across the United States. PVC utilizes a distributed location service model supported by proprietary technology and a quality vendor network, which is complementary to Dexterra's self-perform focus. With a strong track record of growth and currently approximately USD 175 million in annual revenues at an 8% adjusted EBITDA margin, PVC significantly expands our U.S. FM/IFM capability and scale and also has a healthy pipeline of new business and strong future growth prospects. PVC also has a small but growing property management and real estate services business that supports client cross-selling opportunities, providing upside to the business in the future. Dexterra has made an additional -- an initial 40% investment in PVC for USD 58 million, which is a very competitive multiple for a technology-enabled distributed model FM/IFM platform in the U.S. Some comparable transactions have attractive multiples of 14x or even higher. Dexterra has a firm option to acquire the remaining 60% of the company as early as Q3 of 2027 using a similar valuation model. We expect PVC to be cash flow neutral from day 1 after deducting the cost of financing. This business has significant growth potential, and we'll make investments -- and we will make investments to support that growth, which has been about 10% annually as we've seen for other areas of our U.S. business. PVC's reputation, culture and values align very well with Dexterra. The company leadership is committed to staying in the business, providing strong continuity. We are looking forward to working together with the Faciana family and the team at PVC, who have led the business to a strong track record of quality, service and profitability. In summary, our investment in PVC hits the center of our strategic target on U.S.-centric FM/IFM expansion, providing true North American scale and capability for Dexterra and provides a significant catalyst for long-term profitable growth. Last but not least, in support of our expanding U.S. presence, we recently announced David Lambert as President, Dexterra USA. David brings deep industry expertise and a strong track record of operational excellence. He will play a critical role in shaping and executing the company's U.S. strategy, including the recent acquisition of PVC as we continue to grow our market access capabilities and presence in the market. Turning now to Slide 6. Yesterday, we announced an agreement to acquire 100% RIGHT CHOICE Camps & Catering, an established full-service workforce accommodations provider in Western Canada for $67.5 million. As we've communicated, our current workforce accommodation fleet has been and continues to be highly utilized at over 90%. This transaction not only brings in a large and important existing business, but also expands our fleet of workforce accommodation equipment that supports the growth and diversification, both of our remote workforce accommodations-based support services and asset-based services businesses. The acquisition adds 2,000 beds of modern, high-quality mobile camp and ancillary equipment currently deployed across 7 open camps in the Montney, Duvernay region. This equipment is additive to the current Dexterra fleet of about 8,000 beds deployed across Canada. At the outset, there's an opportunity to optimize the RIGHT CHOICE and Dexterra regional open camps in the Montney- Duvernay region. As well, the RIGHT CHOICE fleet is currently underutilized at about 50% occupancy and provides redeployable capacity to support Dexterra's other growth initiatives and diversification across Canada, including potential nation building and defense investment projects as Canada reacts to new global dynamics. RIGHT CHOICE initially adds an immediate uplift of about $75 million in annual revenues and $15 million in adjusted EBITDA with additional growth over time through excess equipment redeployment. The acquisition reinforces our leading position in the Canadian workforce accommodations market, and we were able to purchase it at an attractive valuation given our unique positioning in the market. This acquisition is also consistent with our business strategy to invest in opportunities that have high returns and are accretive to shareholders. The transaction is expected to close on August 31 of this year. Turning now to our Q2 financial and operating results on Slide 7. Very pleased to report that Q2 was another good quarter for Dexterra with robust activity levels and strong margins across the business, resulting in over $30 million in adjusted EBITDA. Our results in the quarter were driven primarily by continued strong camp occupancy levels in Support Services, improved margins in IFM and the expected shift in ABS business mix to a higher-margin rental income following the successful mobilization of major camp contracts in Q2 of 2024. Our strong operating performance allowed us to continue to achieve our target of a return on equity of 15%. In the quarter, we also returned approximately $9 million to shareholders through our dividend of $5 million and share buybacks of about $4 million and saw our share price continue to improve. It is up about 15% in the quarter and substantially over last year and in our minds, still trades at a significant discount to the true market value. Another big plus for the company is that we have to date been very resilient in the current economic and trade war concerns and environment. Speaking in more detail on the business segments, starting with Support Services on Slide 8. For Q2 of 2025, revenues from Support Services were $205 million, an increase of about 3% from Q2 of 2024 and Q1 of 2025. Adjusted EBITDA for the quarter was $20 million, which is consistent with Q2 of 2024 and compared to $18.9 million in Q1 of 2025. The increase in revenue and profitability is attributed to higher occupancy at camps mobilized in Q2 of 2024 and IFM margin improvement, which was partially offset by lower IFM project work compared to the same period last year. Adjusted EBITDA margins in Q2 of 2025 of 10% were consistent with Q2 of 2024 and an increase compared to 9.5% in Q1 of 2025. The increase was a result of the factors previously mentioned and also a focus on cost control and supply chain efficiency efforts. We expect adjusted EBITDA margins for Support Services to continue to exceed 9% over the long term. Our pipeline of new sales opportunities remain strong in all areas of Support Services, including integrated facility management opportunities on both sides of the border. Moving on to asset-based services on Slide 9. Revenue from this business segment for Q2 was $44 million, which is an 18% decrease as expected over Q2 of 2024, primarily driven by lower volume of camp mobilization and installation projects. Revenue in Q2 increased 7% compared to Q1, partly due to stronger access matting activity as it returned to over 90% utilizations during the quarter. Our camp equipment utilization levels were also above 90% in Q2 and have been at this level for an extended period of time. Q2 adjusted EBITDA of $16.5 million represents an increase of 14% over Q2 of last year and 23% over Q1 of this year. Adjusted EBITDA margin for Q2 was 38% compared to 27% in Q2 of last year and 33% in Q1 of this year. Adjusted EBITDA margins -- adjusted EBITDA and margins were higher than in Q2 due to the margin differential between camp rentals in Q2 of 2025 and the camp mobilization work that we had in Q2 of last year. Adjusted EBITDA margins in this business segment are expected to fluctuate between 30% and 40% as our mix of business has less camp mobilization activity in 2025. With that, I will turn it back over to Denise for some financial comments.
Denise Achonu: Thank you, Mark. I will speak about our financial position and the capital markets on Slide 11. First and foremost, as Bill mentioned in his introduction, we are very happy to announce that Dexterra Board has approved a 14% increase to our annual dividend to $0.40 per share. This significant increment marks our first dividend increase since 2021 and reflects strong confidence in our strategy and ongoing commitment to returning capital to shareholders. We also successfully negotiated an amendment to our credit facility, which now has an available limit of $425 million, up from the previous $260 million limit and an improved pricing grid. The favorable terms of the amended credit facility reflect the company's strong financial position and provide additional capacity and flexibility for the company to execute on its capital allocation priorities, including the recent investments, which will be financed using the credit facility. In May, the TSX approved our notice of intention to renew the NCIB, which will allow us to repurchase up to an additional 3.1 million shares between May 23, 2025, and May 22, 2026. Year-to-date, we have repurchased 1.4 million common shares for a total consideration of $11 million under the terms of the NCIB. We plan to remain opportunistic with share buybacks in 2025 as we still believe our shares are undervalued. We have been pleased with the program to date and have the financial flexibility to be opportunistic. Net debt at June 30, 2025, was $93 million compared to $81.5 million at Q1 of 2025 and $67.9 million at December 31, 2024. The increase was primarily due to investments in working capital as a result of seasonal fluctuations, which we expect to normalize by Q3. We remain focused on optimizing working capital, primarily through actively working with our clients for prompt payment of receivables. Free cash flow for Q2 2025 was a small deficit similar to the same period in 2024. As in prior years, we expect to generate the majority of our free cash flow in the third and fourth quarters. Adjusted EBITDA conversion to free cash flow is expected to continue to exceed 50% on an annual basis. On a normalized basis, annual cash taxes are currently running at approximately $15 million, and the majority of our 2025 tax liability will not be payable until early 2026. With the two acquisitions, we expect our debt-to-EBITDA ratio to be under 1.75x of annualized pro forma adjusted EBITDA by year-end, which is well within our comfort zone. Following the closing of the acquisitions, we expect to pay down debt of between $30 million to $40 million by the end of the year. We still have low leverage and a very strong balance sheet, which we are committed to maintain. Effective Q3, the 40% interest in PVC will be reported as an equity investment as part of the Support Services segment. It will be operated as a joint venture. And the RIGHT CHOICE acquisition will be consolidated and reported under the Asset-Based Services and Support Services segment, consistent with the corporation's existing workforce accommodation business. I will now turn it back to Mark for closing comments.
Mark Becker: Great. Thanks very much, Denise. Turning on Slide 13 now to our outlook, and our priorities going forward. Number one, continue to build on our positive momentum of predictable and consistent results that we've established, that's always going to be at the top of our list. Number two, our recent -- two recent strategic investments will further strengthen Dexterra's ability to capture new market opportunities, broaden our capabilities and achieve strong profitable growth over the long term. Our primary focus around acquisitions in the short term is to effectively onboard these recent investments and to realize the full benefits. Number three, our potential -- the potential direct impact of trade and tariffs is something we also continue to closely monitor. To date, we've not seen direct material impacts to our supply and operations costs. As a service company, Dexterra is naturally insulated from the direct impacts of trade tariffs as our labor and a large majority of our supply commodities are domestically sourced. We are, however, continuing our supply chain efforts to proactively make adjustments to our supply channels and optimizing and expanding our volume discounts and vendor rebates. In summary, we expect to substantially be able to mitigate the direct impact of trade tariffs on the Dexterra business on the assumption that North American economy does not experience a significant recession or significantly high inflationary pressures. We continue to monitor economic and industry indicators closely as well as staying closely connected to our clients. At this time, we're not seeing indications of changes to industry activity levels or client plans for the balance of 2025. We have a healthy pipeline of new sales opportunities in all areas of our business, and we expect to win our share of these opportunities. Timing of some of these contract awards can be variable and may shift between quarters or into next year, depending on client processes. Our focus is to continue to manage what we can control, and we'll continue to invest in our sales and pursuit teams, expanding our sales pipeline and marketing approaches as well as continuing to deliver value and operational excellence to our clients. In summary, our capital allocation priorities going forward are essentially unchanged over the medium term. First and foremost, maintaining the newly increased dividend level, supporting sustaining and selective high-return capital investments; number three, completing accretive acquisitions while maintaining our strong balance sheet with full deference to my earlier comments around onboarding and realization of the benefits of our recent acquisitions; and four, remaining opportunistic in share buybacks under the NCIB. We are excited and confident about our recent strategic investments and our path forward. Our strategic focus remains the delivery of strong profitability and growth, consistent and predictable results and a return on equity for shareholders of 15%. Our key to maintaining this return on equity will be through continuing to deliver profitable growth through executing with excellence. This concludes our prepared remarks today. I will turn the call back to our operator, Andrea, for the Q&A portion of the call.
Operator: [Operator Instructions] First question comes from Chris Murray of ATB Capital Markets.
Christopher Allan Murray: Maybe starting with the RIGHT CHOICE acquisition. Just a few questions to maybe clean up on this. So first of all, I know you guys have been pretty hesitant or maybe cautious is the right word about either building new assets or adding to assets. So can you talk a little bit about the decision to make an acquisition in this space and what that does? And alongside that, just thinking about what the redeployment opportunities are? And if you can just maybe give us a breakdown of how much of the business is in the FM kind of world versus the asset-based world, that would be helpful.
Mark Becker: Yes. I appreciate that, Chris. And I'd say around RIGHT CHOICE, as we've been communicating and communicating again today is we've had high utilization on our camp equipment across our network for quite a long time. Competitively, that's different than others, and being able to grow our business and particularly, as I've talked about, we've got strong pipelines of growth across Canada in the remote and hospitality business in all segments, whether it's natural resources or infrastructure, being able to support our eligibility and our ability to capture those opportunities we need equipment available, and we're at high utilization rates, it's harder to do that. We do have turnover in our business related to projects finishing and restarting. But generally speaking, I would say with the strength of the pipeline that we're really seeing, we want to be able to support that, and also with nation building projects and other significant potential infrastructure investments in Canada, we really want to be able to do that. RIGHT CHOICE is a strong margin business, matching ours and is really quite additive to that. I think, Chris, to your last question, it's a full-service company like we are with redeployable equipment, low utilization levels where it's currently located. So we could redeploy that equipment, capturing both ABS business as well as support services, whether that be hospitality support and operations of camps as well as facility management to support it. So it's really a very close mirror to what we currently do and a really strong kind of direct expansion of what we can do in terms of accessing new opportunities.
Christopher Allan Murray: Okay. And so if we think about the -- maybe a different way to ask the same question, the revenue stack, what proportion would -- should we be expecting it will be allocated to asset-based and what proportion to support services?
Denise Achonu: Sure, Chris. So of the -- I think we said top line kind of $75 million, about 20% of that would be ABS, the balance being support services, which is very similar to our profile of our current open camp profile as well, and then we're really pleased with the business. We got a great multiple, and we think that the fact that it mirrors kind of our current open camp in the Montney, Duvernay and other regions is perfect for us.
Operator: The next question comes from Sean Jack of Raymond James.
Sean Jack: Just wanted to see if you guys could comment at all on what your support services sales pipeline is looking like at this time? And maybe also touch on whether you're seeing it kind of build towards the IFM segment in the United States or yes, if you could just give any color on that, that would be great.
Mark Becker: Yes. And as I've said, pipeline is strong really across the business, and whether it's kind of the remote and hospitality part of support services, that remains strong. We do see a lot of activity in the U.S., and that's part of our decision-making around PVC, and we've seen it around our current elements of business in the U.S., including CMI and our other business that we have in the U.S. I think I would say, Sean, our guidance around kind of mid-single digits. As I talked about, timing is always about new contracts coming in, new opportunities coming in between quarter-over-quarter. But if you think about it annually, we're still targeting kind of those mid-single digits around support services. I would say, though, and you kind of picked up on some of the comments, I would say a Canadian view of support services would look like that. We are targeting higher in the U.S. We've seen closer to 10% growth rates around our other elements of business. Certainly, our PVC partners see that as well, and so I would say we're targeting a higher growth rate in the U.S.
Sean Jack: Okay and any specific...
Mark Becker: I'm sorry about that.
Sean Jack: Okay. That's great, and then also wondering if you could provide any color on what end markets or geographies would be high priority for some of these underutilized assets coming from RIGHT CHOICE.
Mark Becker: Yes. Good question. And as I mentioned, RIGHT CHOICE has been a really good high-quality competitor with us in the Montney, Duvernay. There's optimization opportunities within the Montney, Duvernay that we're going to be able to capture between our facilities, our camps and theirs. But then this camp -- this equipment is high-quality equipment. I would say the two operators with the highest quality equipment out there is really us and RIGHT CHOICE, if I could be so biased, and -- but it is mobile equipment, which means as you've seen us do over the last 5 years, we can redeploy that equipment across Canada, and that's coast to coast to coast, all the way up into the Arctic. Our intention would be and our pipeline, we have opportunities across Canada for remote and even potentially some isolated opportunities in the U.S., we'd be looking to redeploy that equipment effectively within all of those spheres.
Operator: The next question comes from Kirk Wilson of Beacon Securities.
Kirk Wilson: Congrats on your quarter and your acquisitions. Just to build, I guess, a little bit on the previous questions. Most of my questions have been answered. But on the RIGHT CHOICE acquisition, how much of their fleet is under long-term contracts? You look at, they've got 6 that they list on their website, large camps currently in operation right now. How much of that fleet is under long-term contract?
Mark Becker: Yes. Good question, Kirk. And the way the Montney, Duvernay operates and is structured, these are the larger companies. These are the larger players operating in the Montney, Duvernay, in some cases, even where it's the same clients that we already have just in different locations, which is part of that optimization opportunity. Open lodging often is done under long term, what we would call MSA or multiple service agreements and even some on a short-term basis. I guess the way I would say it, Kirk, is these contracts tend to be long relationship, if I could say it that way. I think you would know being an energy-based guy out of Calgary, if I could say that, the operators have been there for a period of time. They continue to be there. These are long-cycle investments and long-term operations in the Montney that these relationships around these lodges tend to be long relationships. So I would say kind of a mix, but I would really focus it on relationships. If you're asking that around our ability to redeploy, really no restrictions around contracts in terms of our ability to redeploy as long as we have occupancy and capability to support all our clients, whether it's current Dexterra or current RIGHT CHOICE clients, as long as we have that capacity, we have the ability to redeploy assets.
Kirk Wilson: That's great color, Mark. I guess just a little bit of a follow-on question. I think you probably answered it. The age of the fleet that you -- that -- RIGHT CHOICE has, I think it is fairly new, has had consistent capital go into it to keep it modern. Is that a fair assumption?
Mark Becker: Yes. Another good question. So if you look at RIGHT CHOICE, and I hope I don't get this exact date wrong, but RIGHT CHOICE has been in play since 2012. So they've been in business here for 13, 15 years. All of that equipment was built new around building that business. You would have seen us building equipment prior to 2014 as well. So really in the business, the newest equipment out there is really either Dexterra or RIGHT CHOICE, generally speaking, and RIGHT CHOICE also tends to maintain their equipment really, really well like Dexterra does. The other thing I would say, too, is the RIGHT CHOICE equipment has been in the same place for quite a while in some cases, which tends to support the quality and condition of equipment. One of the real reasons we approached RIGHT CHOICE on this transaction is the quality of equipment because that's one of our hallmarks of our value offering, and one of the reasons that we do really well in the market is just the quality of our equipment that we can bring to bear as well as our quality service on top of that. So it's a good match that way.
Operator: The next question comes from Zachary Evershed of National Bank Financial.
Zachary Evershed: Congrats on the quarter. Just following up on your last statement there that they have some of the best equipment in the market as Dexterra does. How have you been able to get your occupancy rates up to 90% while they've been down at 50% closer to where the rest of the industry is?
Mark Becker: Yes. Another good question. I would say focused within the Montney, Duvernay. I mean, like a lot of us, there's big contracts associated with the Coastal GasLink pipeline projects, for example, the kind of the head of that pipeline that used a lot of occupancy in the business in the past. RIGHT CHOICE has not been -- has been focused on the Montney, Duvernay strategically. As you know, we've been focused on a much, much broader horizon, both geographically as well as market segments across Canada and relocating equipment to those opportunities. I don't know, Zach, but all I can say is, again, it's that quality offering. We offer quality equipment. We offer great service, and we offer the capability to really be coast to coast to coast, as I talked about, which is really a big value to our clients, especially, I would say, our diversification clients around mining infrastructure in other places in Canada versus just the Western Canadian oil and gas environment, which has been our strategic calling card and has worked great for us over the last 2 or 3 years, and we expect that to -- we're seeing it continue as well with what we see in the pipeline.
Zachary Evershed: That makes sense. And then what was your thinking on the timing of the dividend increase? In other words, why now? And can shareholders expect a pattern of raises in the future?
Mark Becker: Yes. I think really around the dividend, together with our Board, our goal is really to pay a reasonable dividend and really based on our earnings potential of the company and to a degree, our share price, which really drove our current decision-making and timing around the dividend increase. I think more broadly, we'll continue to do that. But I think if you're thinking about us around the dividend, I think paying a reasonable dividend is really where we want to be and not short of that and not long of that, if I could say it that way. And really, just more broadly, we're really focused around ensuring strong returns to shareholders, whether that's through the dividend, share appreciation and just staying opportunistic on our share buybacks.
Operator: The next question comes from Trevor Reynolds of Acumen Capital.
Trevor Reynolds: Just wanted to clarify on the -- you discussed the revenue split between support services and asset-based services, are the margins similar to what you have in those two divisions as well, on RIGHT CHOICE?
Denise Achonu: Trevor, yes. So for RIGHT CHOICE, as I mentioned, the revenue split is about 20% ABS. The margin split is a little bit different than our current portfolio because obviously, within our current portfolio, we've got Access Matting and a couple of other diverse kind of asset-based businesses in there. But for RIGHT CHOICE, the split is really about 65% of their EBITDA is ABS or asset-based services and then the balance going to support services.
Trevor Reynolds: Okay. And then just on -- I mean, I'm not sure what all you can kind of share on this at this point, but maybe just the overlap that you guys see it in terms of the open camps, like what sort of number do you think you guys can close? Or what's kind of the plan there in terms of getting occupancy up?
Mark Becker: Yes. I think it kind of varies, I guess, Trevor, and kind of it depends, I guess, by client, by location. I mean there are situations where RIGHT CHOICE has got camps that are very co-located with the operational -- our clients' operations, which makes them obvious supports for that, and same thing on the Dexterra side. There's also situations where maybe we have camps that could be optimized where we've got camps that are -- we could either consolidate our operations into the RIGHT CHOICE asset or consolidate our operations into Dexterra's assets, and really, kind of maximize the availability of equipment that we've done internally with our own fleet over the last 3, 4 years. We're going to kind of continue to do that. I think just generally speaking, over time, if you think about a high level, a 50% utilization times 2,000 beds kind of just plus ancillary equipment gives you an idea of what the deployable inventory might be. Obviously, if activity ramps up, that goes down a bit. If it ramps down, it goes up a bit, but we would be looking to redeploy a number like that over a period of time.
Operator: The next question is a follow-up from Chris Murray of ATB Capital Markets.
Christopher Allan Murray: Just turning back to Pleasant Valley and the accounting treatment, trying to get into the weeds here, but as you talked about, you're going to be reporting it, I guess, as an equity pickup line. Will you be providing kind of ongoing disclosure? I know part of the discussion has been kind of the growth profile. The problem is if we just get a one liner, it's going to be hard to kind of see. So how should we be thinking about how the disclosure around Pleasant Valley and the growth until you guys can exercise the rest of the option should occur?
Denise Achonu: Chris, yes, I mean, this is obviously a significant investment for us. It's very strategic, and we are -- it's part of our U.S. growth platform, and so yes, it's going to be equity accounted for, for the first little while we own 40% of it, and then with regards to some additional disclosure, we might provide a little bit within the financial statements as well just because it is a significant equity investment. So there will be some additional disclosure provided in the notes to the financial statements, probably starting in Q4.
Christopher Allan Murray: Okay. That's helpful, and then just, I guess, the other question is just on closing these transactions, is there anything that we should be thinking about in terms of either regulatory review or any sort of other conditions, be that shareholder votes or anything that we should be thinking about that prevents or could slow down the close of any of the transactions?
Mark Becker: Yes. Short answer on that, Chris, is no, any of those hurdles and any of those reviews or aspects have been passed. PVC, as I think you're aware, we signed and closed on July 31, we signed the RIGHT CHOICE acquisition yesterday, and it will close on August 31, but really, due diligence efforts, regulatory reviews, competition, Board reviews have all been completed on both.
Operator: The next question comes from Bob Taylor of Pembroke Management.
A. Scott Taylor: I was wondering with respect to Pleasant Valley, can you give us a comment on the geographic footprint, whether it's National, East of the Mississippi, ETC, et cetera? And until it's 100% owned, does that preclude you from integrating it or others into the consolidated operation?
Mark Becker: Yes. Good question, Bob, and it's pretty simple picture. For PVC, it's all 50 states, including Alaska and Hawaii. Kind of, I would say, the nature of the distributed model, and as we've talked about, I mean, PVC works for some really strong companies, some really large companies, Fortune 500 companies that have many, many locations across the U.S. So really, that's -- if you think about our kind of in the FM/IFM world, our self-perform model, it's really a huge complement to us to have a distributed model of this scale and particularly one that's technology enabled. That's a huge competitive advantage with PVC, and I guess the other part of your question, Bob, I would say, we do have a joint venture together with PVC for this initial phase until our option opens up around kind of the full buyout. I would say it's kind of maximum collaboration is the way I would say it, and certainly, I think I feel okay speaking for our PVC partners as part of the reason they pursued this deal with us is that ability to collaborate together, bring markets together, bring self- perform capabilities together along with their distributed model. So we'll be working together on kind of, let me just say, maximize basis in the U.S., including our CMI business that we have and other business that we have in the U.S. But I'd also say both sides of the border. PVC, obviously, as I said, is very strong in the U.S. in all corners of the U.S. but they have a bit of business in Canada. Obviously, we're the vice versa of that, and pulling us together is really making kind of a North American player on the midsized scale to be able to prosecute kind of both sides of the border. So we're really excited about doing that, and that's already starting day 1.
Operator: The next question is a follow-up from Zachary Evershed of National Bank Financial.
Zachary Evershed: Just one follow-up for me. With the new President to run Dexterra USA., what's first on his priority list?
Mark Becker: Yes. Good question, and certainly, David and I have been having lots of conversation around that. David comes with lots of experience, IFM experience, broader experience as well, and some of the key things that's focused on his list is really engaging with our current business. He comes from the outside, but he's a very experienced person, but understanding our CMI scope, understanding our broader scope of services in the U.S. and really understanding PVC scope of services, so he's going to be spending a lot of time with the PVC team, really just understanding the whole scope of our U.S. platform. I would say also looking at how we bring that together in, we keep calling it a U.S. platform. David is going to turn that into a U.S.- based organization with a U.S.-based support system that we've been working together with our own organization around and the PVC organization within the realm of the joint venture with PVC, but we're going to pull together a U.S.-based organization that has cross- border elements as well, and I would say that's kind of the first couple of really focus areas in addition to really looking at the growth plan around the U.S. platform, how we leverage synergies between CMI, our existing business and PVC. He's going to be looking at all three of those elements as kind of part of his 30-, 60-, 90-day plan.
Operator: As there are no further questions, this concludes the question-and-answer session. That also concludes today's conference call. Thank you for attending today's presentation, and you may now disconnect.